Operator: Ladies and gentlemen, thank you for standing by. Welcome to the BOS Fourth Quarter and Full Year 2014 Results Conference Call. All participants are present in listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session. [Operator Instructions] As a reminder this conference call is being recorded and will be available on the BOS website as of tomorrow. I would like to remind everyone that this conference call may contain projections or other forward-looking statements regarding future events or the future performance of the Company. These statements are only predictions and may change as time passes. BOS does not assume any obligation to update that information. Actual events or results may differ materially from those projected, including as a result of changing industry and market trends, reduced demand for our products, the timely development of our new products and their adoption by the market, increased competition in the industry and price reductions, as well as due to risks identified in the documents filed by the Company with the SEC. I would now like to hand over the call to Mr. Yuval Viner, CEO of the Company. Yuval, please go ahead.
Yuval Viner: Thank you. Welcome to all our listeners. In the year 2014, we succeeded in growing our revenues by 6% as compared to year 2013, but unfortunately we ended the year 2014 with a net loss of approximately $430,000 versus breakeven results in the year 2013. Year 2014 results were adversely affected by the performance of our supply chain division. We are working to improve this performance and have positive preliminary indication that the results of our supply chain division will show a significant improvement in the year 2015. We are counting our efforts to expand our RFID and mobile division product offering possibly also through acquisition during the year 2015. We believe that BOS is now well positioned to explore growth opportunity and as observed of our production to non-GAAP profit during the year 2011 through 2014 we project a GAAP profit in the year 2015. Now, I would like to turn over the call to our Mr. Eyal Cohen, our CFO.
Eyal Cohen: Thank you, Yuval. During year 2014, we continued to improve BOS’financial position. We raised equity in the amount of $1.7 million and we significantly reduced our inventory days and accounts receivable creditors [ph]. As a result of that, in the year 2014 we achieved a debt reduction of $4.8 million. This was comprised of $3 million reduction in our outstanding balance of loans net of cash and $1.8 million reduction in our debt to suppliers, total reduction of $4.8 million. We plan to raise additional equity during the year 2015 to support our growth plans and further reduce debt. For further details on our financial performance and business we invite you to review our updated presentation on our website. This completes the financial review. Thank you.
Operator: Mr. Viner, would you like to make your concluding statement?
Yuval Viner: Yes, thank you. We are confident that we will meet our short and long term challenges and expect to end year 2015 with a significant improvement in results. Thank you all and I will talk with you again on our next call.